Operator: Good afternoon. My name is Joel and I will be your conference operator today. At this time, I would like to welcome everyone to the Teradata Fourth Quarter and Full Year 2023 Earnings Call. [Operator Instructions] I would now like to hand the conference over to your host today, Christopher Lee, Senior Vice President of Investor Relations and Corporate Development. You may begin your conference.
Christopher Lee: Good afternoon, and welcome to Teradata’s fourth quarter and full year 2023 earnings call. Steve McMillan, Teradata’s President and Chief Executive Officer, will lead our call today followed by Claire Bramley, Teradata’s Chief Financial Officer, who will discuss our financial results and outlook. Our discussion today includes forecasts and other information that are considered forward-looking statements. While these statements reflect our current outlook, they are subject to a number of risks and uncertainties that could cause actual results to differ materially. These risk factors are described in today’s earnings release and in our SEC filings. Please note that Teradata intends to file the Form 10-K for the year ended December 31, 2023, later this month. These forward-looking statements are made as of today, and we undertake no duty or obligation to update them. On today’s call, we will be discussing certain non-GAAP financial measures which exclude such items as stock-based compensation expense, and other special items described in our earnings release. We will also discuss other non-GAAP items such as free cash flow, constant currency comparisons, and 2024 revenue growth outlook in constant currency. Unless stated otherwise, all numbers and results discussed on today’s call are on a non-GAAP basis. A reconciliation of non-GAAP to GAAP measures is included in our earnings release, which is accessible on the Investor Relations page of our website at investor.teradata.com. A replay of this conference call will be available later today on our website. And now, I will turn the call over to Steve.
Steve McMillan: Thanks, Chris and thanks everyone for joining us today. We are continuing to execute on our long-term strategy to build the leading hybrid multi-cloud analytics and data platform company for trusted AI. At the core of this strategy is our strong focus on helping our customers—, many of the world’s industry leaders—, succeed by improving business performance, enriching customer experiences, and integrating data across the entire enterprise. We innovate and deliver trusted solutions for their toughest data and analytics challenges. We believe our strategy and customer focus is winning in the marketplace, as we see more and more companies putting their trust in Teradata to help create value from their data, and navigate the evolving analytics landscape, particularly with the rise of AI. Underpinning our strategy is a disciplined financial plan which seeks to balance growth in ARR with profitability and re-investment in the business with capital return to shareholders. We closed 2023 with $528 million of cloud ARR and $1.57 billion of Total ARR, representing growth of 48% and 6%, respectively. We generated $74 million of cloud ARR growth in the fourth quarter. Cloud ARR now accounts for more than 1/3 of our Total ARR, a significant milestone in our cloud journey. Additionally, all regions grew cloud ARR, both sequentially and year on year, driven primarily by migration activity. Our Cloud Net Expansion Rate was 124%, and more than 75% of our cloud customers now operate in a hybrid environment. These statistics validate that our VantageCloud platform is delivering breakthrough business performance across a hybrid environment. We delivered 2023 revenue growth within our outlook range. We exceeded full year non-GAAP earnings per share expectations, and we generated more than $350 million of free cash flow, all demonstrating our ongoing dedication to our cloud-first profitable growth strategy. Despite a year of solid progress on our strategic and financial milestones, we ended the year below our 2023 outlook for cloud and total ARR. This was primarily due to deal timing issues. Let me explain. We are seeing that Teradata is becoming even more strategic to corporations and touching all levels of our customers’ organizations. For example, we have historically dealt primarily with IT. Over time, we have moved beyond IT with multiple business units now relying on Teradata. This brings in more executive decision makers, including the Board, in order to close the deal. These dynamics cause a number of transactions to move into 2024. Of these, there was a handful of large deals that slipped out of December and each were worth $2 million or more of cloud ARR growth. This includes the low 8-figure deal Claire mentioned at an investor conference in December. We are already taking actions to address the miss in the ARR expectations we had set. We have reviewed the root causes of each slip. Our teams are executing plans to address each unique customer situation and are diligently working to close the majority of these deals in 2024. To be clear, we had uncertainty in timing, not uncertainty in demand. In our remarks, Claire will speak more to the actions we are taking. As we look ahead, we see the AI-enabled future just about every organization everywhere is looking at AI and particularly Generative AI. This means the entire world is looking at data. Data and analytics are what we know and do best, and where we innovate. Our people have the knowledge and expertise to help companies trust in and get massive business value from their data. This becomes even more important as AI comes of age. We see AI as a catalyst for growth, particularly over the long term. As AI uses grow, so does the need to trust in the information. This ties directly to our belief that people thrive when empowered with trusted information. That’s why we built VantageCloud, our complete cloud analytics and data platform. It is the engine companies need as they explore AI as we provide an open multi-cloud approach to leveraging the language models they want. GenAI is trained on large language models that require extensive amounts of data. With ClearScape Analytics, our engine for launching end-to-end AI and ML pipelines, we can deliver highly optimized analytic functions and expand the high-performing analytics Teradata is known for. Given the global reach of our enterprise customers, we believe that we serve as custodians of much of the world’s most trusted and well-governed data. As I mentioned, data is the critical factor to success with GenAI. The data must be well managed, it must be trusted, ethical and sustainable, and companies need to leverage all of their data at extreme scale to innovate and win with AI. Our proven record and ability to give customers the trust they need and the data to innovate and make impactful business decisions is a real differentiator for Teradata. We are confident that we are better positioned than any other company to help organizations take advantage of AI. We believe that we have the best cloud analytics and data platform period. By delevering harmonized data, trusted AI and faster innovation, we can empower our customers and our customers’ customers to make better, more confident decisions at every level of the enterprise. We are seeing this at customers now. Teradata is becoming even more strategic to corporations, more lines of business are trusting in Teradata and relying on our analytics and data platform as data is democratized and trusted. We are continuing our strong innovation. Our technology innovation engine was in high gear in Q4, as we maintain our focus on speeding the releases of new analytic offerings that help customers take advantage of AI. After nearly a year in development, we launched Teradata AI Unlimited, our AI and ML engine in the cloud that delivers a completely self-service and server-less experience to help those who want to explore AI. AI Unlimited can enable customers to drive faster, easier and cost-effective AI innovation. It is designed to provide access to vast amounts of data as well as extreme flexibility to securely explore, experiment and operationalize new AI use cases at scale. Further, Teradata was one of a small set of companies selected by Microsoft to have our product, AI Unlimited, be natively integrated with Microsoft Fabric to help data innovators operate at their best and find new patterns of innovation. AI Unlimited users will be able to access data in OneLake, Microsoft’s Open Table Format service offering. AI Unlimited also supports other open file formats, which enable users to leverage their language and tools of choice. For example, data scientists, data engineers and developers can leverage native integration with Python to call analytic functions, execute Python code and import Python models directly into Teradata AI Unlimited. AI Unlimited is available on both Microsoft and AWS marketplaces and is consistent with our commitment to an open and connected ecosystem. Since its launch in November, we are receiving strong positive feedback on AI Unlimited. We already have customers from transportation, retail and health care, exploring use cases with this new AI engine and more are on the horizon. Our open and connected platform meets the full spectrum of customers’ needs, where they are today and where they want to go, with our best-in-class cloud lake, lake house, data warehouse or a hybrid combination. With wins in the quarter at Audi, HCA, HSBC and more, let’s walk through a few examples that cover the breadth of our offerings. In an 8-figure cloud deal, one of Australia’s leading banks is migrating its analytic ecosystem to the cloud with us. This banking powerhouse relies on Teradata across many business units and is moving to VantageCloud on AWS in a competitive win for us. The bank’s data science community has also been exploring AI use cases with us in support of its modernization plan. We partnered with Kyndryl on a sizable new logo win, one of the largest daily manufacturers in APJ, has committed to VantageCloud Lake on AWS to improve its business operations. Another 8-figure deal was an on-prem expansion with a Fortune 50 U.S. company. This giant utilizes Teradata in areas of finance and health plan administration and is working with us to add AI models to improve predictive medical treatment. These AI models are designed to help improve quality and value-based care for tens of millions of potential patients. One of the leading healthcare services providers in the U.S. is moving critical operational data and analytic workloads to Teradata on Google Cloud as part of its cloud modernization initiative. This continues our history of helping the customer innovate with analytics and data. One of our recent new logo wins was with one of the largest banks in the Middle East. In this highly competitive win, the bank chose Teradata to help it deliver an outstanding customer experience and improve its campaign management efforts. These examples illustrate that customers are placing their trust in Teradata across all of our deployment options, including Lake. Q4 2023 was our highest quarter yet of adding VantageCloud Lake customers and we continue to see strong interest. We also saw an acceleration of wins with partners, another important element of our profitable growth strategy. We do see, however, some headwinds this year as we expect a few large on-prem erosion to negatively impact total ARR in the first half of 2024. They are related to customer decisions that were made more than 3 years ago before we introduced our cloud-first strategy and VantageCloud platform. While we have known that these erosions were contemplated for some time, we’ve improved our visibility into the timing and are now able to factor these actions into our 2024 outlook. Due to these few on-prem decisions, we view our 2024 erosion rate as an outlier, and they have always been factored into our 2025 goals. We will continue to work every day to deliver breakthrough business value for our customers, and we are receiving industry acknowledgment of our strength in driving innovation. VantageCloud again received the highest score in logical data warehouse and traditional data warehouse use cases from Gartner in its Critical Capabilities report for Cloud Database Management Systems for Analytical Use Cases. Gartner also recognized our cloud vision and execution in its Magic Quadrant for Cloud Database Management Systems. Gartner noted our strength in technology innovations with our optimized ecosystem through Teradata QueryGrid, our deep and robust analytic capabilities through ClearScape Analytics, including AI and ML integration, and they noted that we have the strongest workload management offering in the industry. We were also honored to learn that customer ratings earned Teradata the top spot in the TrustRadius Best of Awards in all three categories in data warehousing, number one in Best Value for Price, number one in Best Feature Set and number one in Best Relationship. Software marketplace G2 also recognized Teradata for excellence in the Leader, Enterprise and Momentum categories in its Winter 2024 report. We value these types of recognition, as they are wholly determined by customer reviews. All of these distinctions reinforce our commitment to innovation and value while keeping customers at the forefront. While we are always pleased to earn recognition for our technology, we’re equally pleased when our strong culture is acknowledged. In November, Teradata again earned the highest score of 100 on the Human Rights Campaign Foundation’s 2023 Corporate Equality Index, demonstrating our ongoing support of LGBTQ+ workplace equality. We are proud of this tribute of our Core Principles in action. In closing, I want to emphasize that everyone at Teradata is relentlessly focused on winning as the complete cloud analytics and data platform company for AI. Since we moved to our cloud-first strategy, we have delivered ten-fold cloud growth in less than 4 years. Our cloud growth in 2023 was far ahead of the market. In addition, the team has made solid progress around our technology innovations and partnerships. We will continue to build on our profitable growth strategy. And as we do, we are firmly focused on operational excellence as we strengthen our processes and capabilities. We remain on the path to achieve over $1 billion of cloud ARR by year end 2025. Now, let’s turn the call to Claire to go through more details.
Claire Bramley: Thank you, and good afternoon, everyone. In 2023, Teradata delivered profitable growth with operating margin expansion of over 200 basis points year-on-year and non-GAAP earnings per share of $2.07, above the high end of the annual outlook range and growing 26% year-on-year. We delivered free cash flow of $355 million. We continue to demonstrate our commitment to capital returns by delivering 87% of free cash flow to shareholders, exceeding our annual target of 75%. Recurring revenue for 2023 was approximately $1.5 billion, growing 5% year-on-year as reported and 7% in constant currency. This was in line with the midpoint of the annual outlook range. Total revenue was also within our outlook range at approximately $1.8 billion in 2023, growing 2% year-on-year as reported and 4% in constant currency. Our cloud net expansion rate remained strong at 124%, a sequential increase of 1%. Our ending cloud ARR was $528 million, growing 48% year-on-year versus our outlook range of 53% to 57%. Total ARR grew 6% as reported and 5% in constant currency compared to our outlook range of 6% to 8%. As Steve mentioned, the 2023 outlook did not fully capture the unexpected deal cycle elongation we saw during the final weeks of the year. Even though linearity improved in Q4 of 2023 versus the same period last year, we still had approximately 60% of the new cloud ARR dollars land in December, with many of those deals closing at the end of the month. We are taking measures to quickly adapt and improve our internal processes. We are paying extra attention to pipeline composition and conversion rates. We are also focusing on sales enablement to continue improving sales productivity. In addition, we are taking cost optimization actions to continue driving efficiencies across the entire company. All of these initiatives helped to inform the accuracy of our 2024 outlook and continue to position the company for durable profitable growth. Let me now share more details on our quarterly financial results, starting with revenue. Fourth quarter recurring revenue was $372 million, growing 4% year-on-year as reported and in constant currency. Recurring revenue, as a percentage of total revenue, was over 81%. Year-on-year recurring revenue growth was led by a strong increase in cloud revenue as we continue our intentional mix shift to the cloud. All three regions experienced strong cloud revenue growth year-on-year. Upfront recurring revenue in the quarter was a net negative $1 million which was in line with the expectations we shared with you last quarter. The impact of upfront recurring revenue in 2023 was $20 million compared to $19 million in 2022. Fourth quarter total revenue was $457 million, 1% growth year-on-year as reported and in constant currency. Quarterly consulting revenue continues to be stable. As expected, perpetual revenue continues to decline given the mix shift to the cloud. Moving to profitability and free cash flow. Teradata’s reported fourth quarter total gross profit were $283 million. The 5% year-on-year increase in gross margin dollars was primarily due to higher cloud and subscription gross margin, driven by both rate expansion and greater volumes. Quarterly operating profit was $89 million, and operating margin was 19.5%. Continued cost discipline and operating leverage contributed to a 2023 operating margin of 18.1%, an expansion of approximately 220 basis points year-on-year. We continued to invest prudently in our business during 2023, focusing on opportunities that generate attractive returns and position the company for future growth. These activities resulted in quarterly non-GAAP diluted earnings per share of $0.56, exceeding the high end of our quarterly outlook range. We generated $168 million of free cash flow this quarter, driven by a more efficient cash conversion cycle. Our DSO improved to 58 days in Q4 of 2023 versus 74 days in the fourth quarter of 2022. Before I provide our annual financial outlook for 2024, I’d like to make some comments to set the context. Related to Steve’s comments regarding on-prem erosions, we forecast an approximate 4% to 5% negative impact to total ARR in the first quarter of 2024. This, in turn, negatively affects recurring revenue, creating a 2 percentage point impact for the full year. We anticipate an approximate 1% headwind in 2024 related to upfront recurring revenue. This is because the net impact expected at the end of the year is nominal. Based on currency exchange rates at the end of January 2024, we anticipate a negative currency impact of 1% to 1.5% to our 2024 for ARR and revenue outlook components. For cloud ARR, we forecast sequential dollar growth throughout the year with the second half of 2024 being much larger than the first half. For total ARR, following the decline in the first quarter, we forecast positive dollar growth in the second quarter and sequential dollar growth for the remainder of the year. For both cloud and total ARR, we continue to anticipate our fourth quarter to be the strongest quarter of the year, in-line with historical seasonality. For the full year, we expect cloud ARR growth to exceed on-prem erosion, thus enabling total ARR growth. For cloud net expansion, we continue to estimate a rate of approximately 120%. On total gross margin, we expect a slight headwind versus 2023 as we continue to increase the mix of cloud, but anticipate cloud gross margin expansion as we continue to achieve scale benefits. On operating margin, we expect to maintain our 2023 level as we continue to optimize costs across the company while driving efficiency. We will also continue investing in areas that generate growth such as AI, demand creation and brand awareness. These investments will be balanced with cost discipline in non-revenue-generating areas, as we continue to prioritize where we spend. Regarding free cash flow, we expect our results to be more back-half weighted than 2023, driven by the anticipated growth profile in 2024. On capital allocation, we continue to commit to a minimum of 75% return of free cash flow to our shareholders. Finally, we have carefully evaluated the fourth quarter dynamics impacting cloud ARR, along with the step taken to address and incorporated these factors and the macro environment to prudently set our 2024 outlook. Our annual outlook for 2024, which is on a constant currency basis for ARR and revenue is as follows: Cloud ARR is anticipated to grow year-on-year in the range of 35% to 41%. Total ARR is projected to grow year-on-year in the range of 4% to 8%. Total recurring revenue is expected to increase year-on-year in the range of 1% to 3%. Total revenue is anticipated to increase year-on-year in the range of flat to 2%. Non-GAAP diluted earnings per share in the range of $2.15 to $2.31. Free cash flow is expected to be in the range of $340 million to $380 million. Here are some modeling assumptions for 2024: A non-GAAP tax rate of approximately 24.2%, weighted average shares outstanding of 99.5 million, other expense of approximately $45 million. For the first quarter of 2024, we anticipate non-GAAP diluted earnings per share to be in the range of $0.53 to $0.57. We project the non-GAAP tax rate to be approximately 24.5% and the weighted average shares outstanding to be 101.3 million. To close, 2023 was a solid year, with cloud ARR ending at over $0.5 billion and with historical and future cloud growth rates that are stronger than the market. We generated profitability and durable free cash flow. We continue to make good progress against our cloud-first profitable growth strategy. We expect cloud ARR to exceed $700 million by the end of 2024, which continued to drive total ARR growth and enabled us to remain on the path to achieve over $1 billion of cloud ARR by the end of 2025. Thank you very much for your time today. Let’s please open the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Tyler Radke. Your line is open.
Tyler Radke: Yes. Good afternoon. Thanks for taking the questions. So a lot to unpack here between the moving pieces of the slip deals and the churn event in 2024 on the on-prem side. I guess first question, just to understand kind of the moving pieces here. So if I think about your cloud ARR guidance, I think that did come in below consensus a bit for 2024. Seemingly, that’s not negatively impacted by this churn event. But to kind of hit the $1 billion in 2025, there is not too much room for the growth to slow there. So I guess what’s giving you the confidence in kind of the strong 2-year cloud outlook? And then secondly, can you just unpack the on-prem erosion event? I think many of us on the call were not expecting that, but it sounds like you’ve been expecting that for a while. So if you could just add a little bit more color and just let us maybe frame if there is any of these other events in the coming years? Thank you.
Steve McMillan: Yes. Thanks, Tyler, for the question. Just to take a little step back, we’re really proud of our execution over the last 3.5 years. You’re looking at 10x cloud growth. It just demonstrates that we are in a great market, data analytics, all of the new interest that AI is generating, the technology advancements that we are putting into the market continuously, give us a lot of confidence in terms of how we’re going to drive forward, really says that we’ve got the right strategy, we’ve got the right technology platform, and we’ve got the right team to execute. So when we give our guidance for 2024, clearly, we want to make sure that we are being realistic and prudent in that guidance. And we are going to execute as we go through 2024 with some real focus and determination. Our net expansion rate increased 124% in Q4 was a really good sign of the core interest that we have in our platform and that when we deploy with our customers and these major customers into the cloud that they are really committed to it and they continue to grow their data and analytics capabilities with us in the cloud. Now to unpack the two events, just to your point, we don’t see any lack of demand for our solutions. This was purely a timing event from our cloud ARR deals. As we pointed out in our prepared remarks, many of our deals are large and closed in the last month this quarter and many closed in the last few weeks. What we tended to see was as data analytics and AI become more and more interesting in a strategic board level discussion within our customers, that we have the opportunity to engage more broadly inside our customers with lots of different use cases. However, it did make the decision-making cycles inside our customers slightly elongated as they have to consider things like data placements, which CSPs they want to use, which language models they want to use and leverage. So the great thing about the Teradata platform is that we give a whole range of choice to our customers in terms of that technology. And so we give them the flexibility to deploy on absolutely the right technology that they want to use going forward. But for those large deals where a lot of those complex decision-making criteria come into play, we saw a handful of deals over $2 million slipping into 2024, and that included an eight-figure deal that Claire mentioned at an investor conference in December. Clearly, we want to make absolute point here, the majority of those deals are going to close in 2024. They are not competitive in nature, but we are absolutely focused to make sure that we’re building that better pipeline management and visibility and that the deal cycles and decision-making is something that we are more on top of as well as deploying a much more complex deal construct for some of these larger deals. So that really encapsulates what happens to cloud ARR growth for Q4. And then if we look at our total ARR for 2024, you’re absolutely correct. We have two major on-prem erosions that we’ve known about for some time. In fact, multiple years, before we actually launched our VantageCloud platform, we’ve known about these intent to erode that on-prem capability. Clearly, it doesn’t – that’s not impact our cloud ARR, but it does impact our total ARR. And the timing of those erosions in 2024, as we work with the customers to nail down when the timing ends of those erosions, we are able to factor that into the 2024 guidance that we just gave. So we had also backed those erosions because we’ve known about them for some time, and to our 2025 goals when we set those goals. And so when we put those two very different factors together, what happened in Q4 from a cloud perspective, that’s what’s happening from an on-prem perspective in 2024, then we’ve included that in our guidance for 2024. But we do believe that our 2025 goals, which were all set with these being known elements, are still very achievable and we’re confident in our execution and our technology and our people as we move forward. Long answer there, Tyler.
Tyler Radke: Yes, I appreciate it. It was a multipart question. Just a quick follow-up, as it relates to the expansions that you’ve seen, net retention rate in cloud ticked up another point, which was great to see. How are you thinking about the contribution from expansions in 2024 in terms of driving that cloud growth? Is there room for that expansion rate to tick up further? And presumably, those are not seeing the same timing issues as it relates to deals slipping.
Claire Bramley: Hey, Tyler, Claire – this is Claire. I’ll take that question. So – just to confirm, we continue to assume a net expansion rate of 120% as we model forward to 2024 and out to 2025 to get to that part of $1 billion, as Steve mentioned. Nothing to do, to your point with the slip deals or anything like that. So we did see an uptick in Q4, as you mentioned, up to 124%. We’re pleased with both the expansion that we see once customers are on the cloud with us after 12 months. But also, we’re seeing good expansion at the point of migration as well. So good trends there. I think very much indicating the demand that we see for our products. But we think it’s prudent to continue to assume that 120% mark, as we look out for our outlook for 2024 and also to 2025.
Operator: Thank you. The next question is from the line of Chad Bennett with Craig-Hallum. You may proceed.
Chad Bennett: Great. Thanks for taking my question. So I imagine we’re going to kind of be all over these moving parts, I’ll call. But just to make sure I understand correctly, the two customers that are eroding, they represent the, call it, 4% to 5% of total ARR on – or yes, total ARR, representing $60 million to $80 million of business that’s going away? Is that correct?
Claire Bramley: Yes. Hi, Chad, it’s Claire here again. So yes, we’ve got two large on-prem erosions that Steve mentioned and then kind of ongoing erosions that we would see as part of our everyday business. So to your point, that on-prem erosions is driving the 4% to 5% sequential decline in ARR in the first quarter of 2024.
Chad Bennett: Okay. And then – so if these were known or have been known for years, so are we still comfortable with our other targets in ‘25 around ARR growth and recurring revenue growth that we gave out a couple of years ago since we knew about these erosions?
Claire Bramley: Yes. So to your point, Chad, I think Steve mentioned that the overall erosion and the risk of these customers was known, we’ve been tracking them very closely, so no surprise. The timing is always much more difficult to predict. So that’s what stand up recently in terms of the exact timing of that. I haven’t given a formal update on my 2025 outlook. But as we mentioned, we are continuing on that path to 2025. These rightly incorporated into our numbers for 2025, so no additional surprises there.
Operator: Thank you. The next question is from the line of Erik Woodring with Morgan Stanley. You may proceed.
Erik Woodring: Hey, guys. Thanks so much for taking my questions. Maybe Steve, if I start with you. You mentioned some comments around pipeline – initiatives to address pipeline composition, conversion rates, sales enablement. You talked about some cost optimization, which feels just a bit more severe than a few cloud deals slip that we will get back next year, and there was some on-premise erosion that was an outlier. So are we looking at a longer-than-expected transformation than the goals you set out in 2021? Or how do I just balance kind of those comments you made with kind of the more bullish stance that you took on some of the slippage that occurred in 4Q and what you’re talking about for 2024? Thanks.
Steve McMillan: Yes. Thanks for the question, Erik. Look, I think as you look at transformations across the IT industry, they are rarely linear in terms of how they manifest. And again, I will just restate this was not an uncertainty in demand for us. It was uncertainty in timing. We are on a cloud-first path in terms of the cloud deals that we are executing against. And so we want to make sure that when we set guidance around those deals that we have right control and deal management to ensure that they don’t slip out of the year. What we see is, again, a handful of $2 million deals that slipped from 2023 and the last weeks of 2023 and to 2024. That does not give us a concern around the execution of the company or our ability to execute or deliver on both the guidance that we have issued for 2024, which again, we always make sure that we deliver and provide prudent guidance that we believe that we can execute against, or in terms of as we look at our 2025 goals, we had a number of these different business impacts factored into those goals as we gave out that guidance back in 2021. So, I think from a company perspective, we are still on a path to achieve those goals. We are – we have got some management system improvements that we have to execute to ensure that we close those deals in a timely fashion, and we are confident in the guidance that we put out for 2024.
Erik Woodring: Okay. That’s helpful. Thank you, Steve. And then maybe just a follow-up on one of the original questions, I am at the top of Q&A. I guess maybe my question is, like it’s not new that you are engaging with multiple decision-makers at different customers or prospective customers. And you haven’t really seen deals slippage to-date that I can recall you calling out. So, I guess the question is just why now, 1st of December, it was just one large figure deal related to something company-specific, but it expanded beyond that. So, what makes you think that this is purely isolated to this quarter and not something broader? And that’s it for me. Thanks so much.
Steve McMillan: Yes. I think we are just continuing to see great interest in the platform and the opportunities that we had in play. We understand the root causes against every single one of those opportunities. We know whether it may have been an uncertainty on which CSP that they wanted to use or which capabilities that they wanted to use or the different business units that are involved in those decisions. So, we think we have got a good handle on those particular deals at those handful of deals that were over $2 million in terms of how they are going to close out in 2024. Look, if I take a step back from it, we had great momentum in 2023. We grew our cloud ARR by 48%. If you compare that, that is way ahead of the cloud data and analytics growth that are – that’s happening in the marketplace. And as we look forward to 2024, we are still seeing good growth for 2024, and we are continuing to grow our total ARR in 2024. So, all of our business dynamics are positive. We did commit that we would execute a profitable growth strategy. And therefore, we are being prudent in our cost and expense for 2024 to make sure that we can still deliver that value to our shareholders. And that value is being delivered both in terms of our free cash flow commitment that Claire outlined, but also in terms of our earnings per share. And you saw that from a business perspective in 2023, we had a very successful earnings per share result and also generating the free cash flow that we had indicated for 2023.
Operator: Thank you. The next question is from the line of Wamsi Mohan with Bank of America. You may proceed.
Ruplu Bhattacharya: Hi. Thanks for taking my questions. It’s Ruplu filling in for Wamsi today. Claire, can you help with respect to the deal timing of the eight-figure large deal. I mean is that something you are expecting to come in, in the first half of the year, or is that like a back half close? And also can you help me bridge the cash flow guidance that you have given? It looks like it’s flat year-on-year, but how should we think about the timing of free cash flow?
Claire Bramley: Hi. Yes. Wamsi, thanks for the question. So, just with regards to the deal that we mentioned back in December, we continue to work with the customer on that. And as Steve said, there is no competitive threat or issue there. So, it’s just the case of working through with the customers to be able to close and working them – with them on new timing. I think H1 is a good expectation with regards to that specific deal. As Steve mentioned, we are expecting to close the majority of those slip deals in 2024. Some of them will be in the first half of the year, some of them will potentially could move out into the second half of the year. With regards to the free cash flow guidance, so to your point, there is a slight growth year-over-year if you take the midpoint. Obviously, we have put a range around that. The timing of that, I did mention it in my prepared remarks, but just as a reminder, because of the growth profile that we are seeing both from a revenue standpoint, recurring revenue, and therefore, profitability. A lot of that free cash flow is generated, obviously, by our – the fact that we are generating profitable income. And therefore, the cash generated will be towards the – more towards the second half of the year than we saw in 2023. We have really good confidence in that free cash flow generation. It’s mainly driven by profitable growth and a great cash conversion cycle that we saw through 2023, and we expect to continue into 2024.
Operator: Thank you. The next question is from the line of Derrick Wood with TD Cowen. You may proceed.
Derrick Wood: Great. Thanks. Steve, if we assume ARR growth gets close to, I guess 0% in Q1, and you have got targets for 4% to 8% for the full year. That does assume pretty significant build in net new ARR through the year. So, just any more color to share on what gives you that confidence that you see such an improvement in ARR built through the year?
Steve McMillan: Yes. I think we always see seasonality in terms of Q4 being our strongest year. Derrick, that enterprise sales motion is geared towards the last quarter. And as we pointed out, the last – can be up to the last weeks in the year in terms of execution. We know and understand our customers. We know and understand what their plans are and how they are going to execute. We see strong demand in terms of the marketplace. We have made some fantastic enhancements to our technology platform to enable our customers to put AI and ML workloads into the Teradata platform. As cloud ARR becomes more strategic in terms of the split of our total ARR, and we said that it’s now over a third of our total ARR is in the cloud. And then sort of we compound that with our net expansion rates, again, that was 124% for Q4, and we are modeling out 120%. We believe it just gives us that ability to continue to compound the overall growth as we move through the year. We do have a pipeline of a number of major transactions that will drive both our cloud ARR and total ARR. They are currently slated to close in the second half of the year. So, all of these factors combine to give us confidence in the gains that we put out there for 2024. I think as you look at the marketplace generally, I think everybody knows that we have the ability in Teradata to take advantage of consumption-based usage from a cloud perspective. We are starting to see consumption tick up in the marketplace generally, but a number of the cloud and data and analytics players are seeing. We think that we will benefit from that. But the guidance that we have put out is prudent in terms of what we believe that we are going to deliver through the course of this year given the underlying dynamics of the business.
Derrick Wood: Great. That’s helpful color. If I could just – a quick follow-up for Claire on the cost optimization efforts, just wondering to get a little bit more color on is this going to take place in certain regions or job functions? When do you expect it to be completed and any quantification on the cost savings?
Claire Bramley: Yes. We are focusing on generating – non-revenue generating areas, as you would expect. They continue – we are seeing some great cost optimization efforts happen through the quarter of 2023, and we expect them to continue in 2024. The other thing we do is very much focused on a returns-based approach. So, where we see opportunity to reinvest dollars into areas that we think will generate a higher return, we also do that. I think a few things I called out in our prepared remarks, for example, AI, big area, especially obviously in the engineering space from a demand generation standpoint as well and something we continue to invest in. So, really just focusing on are we getting the returns that we are expecting from the investments we are making, making those right trade-offs and specifically focus on efficiency in the non-revenue generating areas.
Operator: Thank you. The next question is from the line of Chirag Ved with Evercore ISI. You may proceed.
Chirag Ved: Hi. Thanks for taking the question. You mentioned that 75% of your cloud customers are operating on hybrid environments and where the macro right now where the hyperscalers and several consumption-based cloud names are seeing migration projects to the cloud resume. So, do you think we have had a fundamental shift for customers, especially large customers are increasingly preferring hybrid deployments for cloud only, or is there a renewed focus in customers prioritizing their cloud-first projects again? And how does all this impact Teradata’s position moving forward? Thank you.
Steve McMillan: Yes. Thanks for the question. Look, I think from a cloud migration perspective, we never saw a slowdown from the Teradata platform. We have had tremendous success migrating Teradata customers to the cloud, and that has continued as we have strengthened our technology and strengthen the platform. What we see is the benefits of the Teradata platform that we can operate in a hybrid environment. So, we can actually ensure that customers do not want to put some of the data into the cloud, maybe for some governance reasons or regulatory requirements or performance-based characteristics. If you are a telco, you want to keep your network data on-prem, the Teradata platform enables them to deploy in a completely hybrid environment. We operate some of the world’s most critical workloads and some of the largest data sets in the world. What our customers know and find is that the best way for them to modernize their data solution set to get the benefits out of these new AI and ML capabilities is to use the Teradata platform as their core technology platform for data and analytics, both on-prem and in the cloud. And so we know that we are the best in terms of enterprise scale and enterprise price performance, enabling our customers to actually get these AI models out of a proof of concept and enter production and deploy in the way that our customers want to deploy. So, they want to have a data lake or a data warehouse or a lake-house, these are all deployment options and data architectures that the Teradata platform supports. It’s very differentiated from how our competitive – how our competitors address that marketplace and it uniquely positions us to execute from both a hybrid perspective and to help customers move 100% of the workload to the cloud with the Teradata platform. So, I am not concerned that there is going to be an increase in competitive pressure to move from the Teradata platform to some of these more niche cloud data and analytics providers that can perhaps address the complexity.
Operator: Thank you. The next question is from the line of Raimo Lenschow with Barclays. You may proceed.
Sheldon McMeans: Great. This is Sheldon McMeans on for Raimo. Thanks for taking our questions. You have previously discussed turning back on the new customer acquisition engine. I want to ask how these initiatives are going? How do you rate your performance in fiscal year ‘23? And does your fiscal year ‘24 guidance assume a greater contribution from new logos than last year, or are you still taking a rather conservative stance regarding new logo contribution?
Steve McMillan: Yes, we are happy with the progress that we are making from a new logo perspective. In Q4, we added more new logos than any other quarter. And as we went through 2023, we want that momentum to continue into 2024. As we have always said, these new logos tend to start very small and grow quickly. We are super excited about things like AI Unlimited that we had, which will start to get new users and new customers, utilizing Teradata capabilities in the marketplace, and that will be a great introduction into Teradata ecosystems for new logos across the world. So, yes, we don’t expect a huge dollar contribution from new logos as we move forward. However, we are happy with the progress that we are making from that new logo engine.
Operator: [Operator Instructions] The next question is from the line of Matt Hedberg with RBC Capital Markets. You may proceed.
Simran Biswal: Hi guys. This is Simran on for Matt Hedberg. Thanks for taking our questions. Just one for me. Can you talk about the 2024 pipeline coverage in dollars? And how does it look this year compared to last year? Thanks.
Steve McMillan: Yes. I think we don’t go into a lot of details about our pipeline coverage specifically. What I would say is that we are seeing the marketplace being super attractive, right. And our performance in the market and the cloud marketplace has been great. We grew at 48% in 2023, that was way ahead of the market growth rates. We are seeing strong interest in our platform. We are seeing that new logo engine starting to come online. So, I think as we look at the guidance that we have issued for 2024, we always issued that guidance based on a prudent approach and a realistic approach to execution.
Operator: Thank you. The next question is from the line of Howard Ma with Guggenheim Securities. You may proceed.
Howard Ma: Thank you. My question is also on the 2024 outlook. So, leading up into today’s earnings trend, I was under the strong impression that Teradata is an accelerating total ARR story driven by cloud, but with the 2024 outlook ranges, it’s unclear if that’s still the case. So, Steve and Claire, you have adequately explained the on-premise erosions. But putting that aside, can you just answer – and you kind of hit on this earlier, but can you answer if – are your customers – are they still executing on their cloud journeys on Teradata with as much as fervor as before? And if not, has competition picked back up, or is there anything else that we should – that should prevent you from accelerating total ARR growth in 2024?
Steve McMillan: Yes. I think from a customer perspective, we are still seeing great interest. You just look at the range of different wins that I highlighted in the prepared remarks. We are seeing a lot of interest to utilize our cloud platform and that being the vehicle of their modernization journey. As we look at how we assess our customer environments and whether strategically, they are going to be long-term customers, but we very much matured our customer success motion, so we understand what’s happening with those customers and the strategic plans that they have in place. And that’s given us the opportunity to ensure that we can serve them. We are not seeing really any change in the competitive environment. Some of the things, I think they are boosting demand for us and give us confidence in terms of our execution. It’s a fairly unique approach that we have to having a platform that really supports an OpenAI approach, you can use multiple different types of language models. We are working with some of our on-prem customers in terms of deploying AI capabilities that they couldn’t potentially do with other providers. And we see a lot of different opportunities in terms of driving growth in terms of the overall business.
Operator: Thank you. The next question is from the line of Nehal Chokshi with Northland Capital Markets. You may proceed.
Nehal Chokshi: Yes. Thanks. I apologize in advance if these questions have been asked. But Steve, you mentioned that greater than 75% of cloud customers are now operating hybrid. Could you give us a sense as far as what percent was it a year ago?
Steve McMillan: Yes. I think if we look – as we look back, we have said it was 50% to 60%, and that’s a number we have quoted in the past, so in terms of customers that are operating in a hybrid environment. And clearly, now that we have got hundreds and hundreds of our customers and in the cloud with us, the major corporations in the world, we are seeing great interest and the hybrid capability that we have is clearly a unique differentiator in terms of working across and creating that query fabric across both cloud and on-prem environment. Thanks Nehal.
Operator: Thank you. There are no further questions in queue. I would like to turn the call back over to Steve McMillan for concluding remarks.
Steve McMillan: Thanks everyone for joining us today. As we look ahead, we are going to continue to innovate as the complete cloud analytics and data platform company for AI. We remain absolutely focused on delivering the harmonized data, trusted AI and faster innovations that empower our customers to make better, more confident decisions and improve their overall business performance. We really are excited about our future in this truly dynamic market. Thanks very much.
Operator: This concludes today’s conference call. You may now disconnect.